Executives: Dan Zajdel - Vice President of Investor Relations & Public Relations William J. Lyons - Chief Financial Officer, Principal Accounting Officer and Executive Vice President J. Brett Harvey - Chairman and Chief Executive Officer Robert F. Pusateri - Executive Vice President of Energy Sales & Transportation Services Nicholas J. DeIuliis - President
Analysts: David Gagliano - Barclays Capital, Research Division Shneur Z. Gershuni - UBS Investment Bank, Research Division Raymond J. Deacon - Brean Murray, Carret & Co., LLC, Research Division Michael S. Dudas - Sterne Agee & Leach Inc., Research Division Andre Benjamin - Goldman Sachs Group Inc., Research Division James M. Rollyson - Raymond James & Associates, Inc., Research Division Holly Stewart - Howard Weil Incorporated, Research Division Mitesh Thakkar - FBR Capital Markets & Co., Research Division Paul Forward - Stifel, Nicolaus & Co., Inc., Research Division Lance Ettus Brandon Blossman - Tudor, Pickering, Holt & Co. Securities, Inc., Research Division
Operator: Ladies and gentlemen, thank you for standing by, and welcome to the CONSOL Energy's Second Quarter 2012 Earnings Conference Call. As a reminder, today's call is being recorded. I would now like to turn the conference call over to the Vice President of Investor Relations, Mr. Dan Zajdel. Please go ahead, sir.
Dan Zajdel: Thanks, John. I'd like to welcome everybody to CONSOL Energy's second quarter conference call. We have in the room today Brett Harvey, our Chairman and CEO; Nicholas DeIuliis, our President; Bill Lyons, our Chief Financial Officer; Bob Pusateri, our Executive Vice President of Sales, Marketing and Transportation; as well as David Khani, our Vice President of Finance. Today, we will be discussing our second quarter results. Any forward-looking statements we make or comments about future expectations are subject to the business risks we have laid out for you in our press release today as well as in our previous SEC filings. We also have slides that I should make you aware of. We will be referring off and on to our slides, which you can find on our website. We will begin our call with prepared remarks today by Bill Lyons, followed by Brett Harvey. Nick and Bob will then participate in the Q&A portion of the call. With that, let me start the call with you, Bill.
William J. Lyons: Thank you, Dan, and good morning, everyone. As you've seen in our press release, CONSOL Energy once again posted solid operational and financial results. In a quarter where the coal and domestic natural gas industries struggled with weak spot pricing, CONSOL Energy has been successfully managing through this tough macroeconomic environment. We have continued to benefit from items that we discussed on the last call, namely, being effectively sold out in thermal coal for the year and our significantly above-market hedge position on approximately 1/2 of our gas production. One area that I believe separates us from others is our improving cost structure. In the Coal segment, our all-in cost per ton fell by $2.17 in the second quarter when compared with the first quarter. These costs fell in the quarter when we had less production. Reducing unit cost in a period of lower volumes is noteworthy due to the substantial fixed cost structure of our underground mining complexes. We have been actively managing our costs in 2 ways: first, we have eliminated activities that do not directly impact safety, compliance or efficiency. For example, in the quarter, we lowered our G&A expense by $6 million through the completion of projects relating to corporate initiatives and by amending corporate salary benefit plans. We expect these savings to continue in future quarters; and second, we have been working with our suppliers and service providers to deliver their commodities and services to us at a lower cost. Understanding the cost of our operations is not enough. To compete successfully in the increasingly competitive global markets, we must know the costs of the entire economic chain and actively participate in the management of that entire chain. These supply chain initiatives have resulted in meaningful savings on items such as roof bolts and power. For example, with one major part supplier, we have been able to gain a 3.3% discount per part off of an annual spend of about $25 million. The key takeaway is that we are expanding our focus from costing only what goes on within the company to focusing on costing the entire economic process. We are not simply waiting for higher sales prices to drive returns. In the Gas segment, costs for the 2012 second quarter were $3.34 per Mcf. This was down $0.23 from the year earlier quarter. The improvement was led by our growing Marcellus Shale program where unit costs in the just ended quarter were $2.61. This is an improvement of $0.65 from the year earlier quarter. There were numerous contributors to the unit cost improvement, which we will detail in the 10-Q. But the basic driver is that CONSOL is drilling longer laterals, which increased production rates per well. This, when coupled with the more wells per pad, is helping us to achieve what could be industry-leading results. CONSOL is basically in full development mode at a time when many of our competitors are still drilling sub-optimally in order to hold acreage. Our held-by-production position in adherence to our core values of safety, compliance and continuous improvement have driven these results. We have also been successful in the first half of 2012 in having substantial asset sales that have contributed to our liquidity and cash flow. We've had multiple asset sales this year that have generated cash of $224 million. We've been able to sell assets at a fair price because of the quality of our assets and the fact that our strong financial position allows us to transact these deals without the pressure of the need for immediate liquidity. It is also important to note that all these sales have been from non-revenue-generating assets. Rebalancing our portfolio is sound economics, especially since we can reinvest this cash into our organic coal and gas projects. These projects will yield what we believe will be industry-leading returns as the next energy upcycle unfolds. Brett will provide more detail in color, but we expect to continue to monetize noncore assets over the next several years. So let's review our overall results, which are depicted on Slide #4. Net income was $153 million or $0.67 per diluted share for the second quarter of 2012 compared to $77 million or $0.34 per diluted share for the second quarter of 2011. Total sales revenue for the first quarter -- for the second quarter of 2012 was $1.5 billion or just under last year's second quarter. We generated operating cash flow of $138 million and EBITDA of $414 million. Our liquidity position at June 30, 2012, is on Slide #5. Our cash on hand is $200 million, and our total liquidity is $2.6 billion. We have no long-term debt maturing until 2017, and we have no borrowings on our credit facilities. On Slide #6 shows our capital. We invested $408 million of CapEx in our businesses for the quarter, which is an increase of $77 million compared to the year earlier quarter. The change was driven by $102 million increase in capital spending in the Coal segment. The increase was primarily due to the ongoing development of the BMX Mine and the construction of the northern West Virginia water treatment system. The Gas segment decreased CapEx by $25 million, primarily due to reduced coalbed methane drilling and lower gathering system expenditures. For calendar year 2012, our $1.5 billion capital budget remains flexible to market realities. With current projected commodity pricing and with the prospects of additional asset sales, we still have expectations of being cash flow-neutral for 2012. Our strategic initiatives have positioned CONSOL Energy for significant growth. Nothing has changed in our long-term outlook for CONSOL Energy. CONSOL Energy continues to be one of the premier names in the energy space as we continue to combine safe, low-cost, efficient operations with opportunistic worldwide marketing to generate solid shareholder returns, and we continue to watch over our financial resources while investing for the long term in both coal and gas where we have world-class assets. With that, let me turn it over to Brett.
J. Brett Harvey: Thank you, Bill. Good morning, everybody. We put out our production report last week and we talked about safety and we talked about production, and so I'm not going to go into those numbers. But let me say that our core values of safety, compliance and continuous improvement are real to us and real to our shareholders because it creates value for all of us. Especially on the safety side. The 9,000 people that we have -- 9,000-plus -- are the real assets of the company that extract value for our shareholders, and we take these values very seriously. And so when we put those reports out and put safety first, we're very serious about that. We have a set of slides that everybody can look at on the website. I'm going to start some of my comments at Slide #12 for those of you who want to look at that. We talked about energy markets at that point in time -- or on that slide. And clearly, there's a slowdown in demand for energy, not only in the United States but across the globe. And we have low-cost, flexible assets that can adjust to that, on the gas side as well as the coal side. If you look at our cost structure on the coal side, the controls are in place. If you look at our cost structure on the gas side, the controls are in place. So let me tell you, these low-cost flexible assets are very valuable to our shareholder base and can adjust very well to dampening markets that we've seen this year. Let's talk about gas for a minute. We reduced our capital this year on gas based on the price of gas. We have partnerships that we've got together and made prudent investments for our expansion. And as also when the prices drop like this, I think you have a differentiator between those who are going to advance the technology based on their position and those who are just trying to hold on to their asset base. I think that's clear, at $2 gas, who can win and lose that. But I think in our case, where we can take, because of our held-by-production position, we can do 10-well, 8-well drill pads, lower our costs, move the gas to marketplace and advance technology even at low gas prices. And as gas prices rise, we can extend our margin because we've scientifically reduced our total costs. And I think that's important that our shareholders see that. Now let's move on to coal. Coal, very interesting at this point in time because we have -- we're investing in coal as well with our BMX project and some other projects, and I'll talk about those in a minute. But we're having record months, month-after-month, at our port facilities because we see this marketplace and the value of moving this coal into the world marketplace continues to be in place. We are not building inventory at our mines. We have more capacity than what's in the marketplace right now. In fact, I can tell you that our longwall developments in the best position it's been in years. So we are in a good position for a turnaround in the Coal business and our ability to produce more coal at lower costs. But you can see even at lower volumes, I think our people have done a great job under Nick's leadership to lower the costs and optimize the margins for this marketplace. We are actually -- let's move to Slide 13 now, and I'd like to talk about some of the things that I've talked about when we did the Dominion deal about 2.5 years ago. I said at that point in time that we were going to reassess all of our assets, especially when we brought that big asset in, and look at everything that was core and noncore based on our strategy. And if you look at this slide, it really shows that we brought value forward, as I said that we would. Now with all of these assets, it took us a while to get some traction on this, but you can see that we've done very well and I don't see an end to it. I really see great assets coming online like let's go back 3 or 4 years when we decided that Youngs Creek had some value. We partnered up with Chevron. We created a company and we added value. And clearly, that sale was very good for our shareholders. Something's sitting on the books that turned to $170 million that has a low book value plus an 8% royalty is a very valuable asset for -- that we brought forward for our shareholders. The Western Allegheny JV that we just committed to on the mid-side creates real value for us as we thought because these are coal seams -- thin coal seams that -- with met qualities that have been sitting on the books, and we found ways to extract those and move those forward as well. So with that, let me -- let's move to #14. On this Slide #14, I'm trying to show our shareholders and potential investors that we are expanding our met business, not by going out and buying other assets. We're going into our own asset base, we're expanding our met business at very low cost per annual ton. And I think it is important to note because when the met business turns around and the prices start to rise again based on demand for steel, we're going to have some very high-margin tonnage coming into the marketplace. That's good for our shareholders and it's a good time to make that investment, and we'll continue to do that. So with that, I would like to make one statement. I believe that the marketplace when coal prices drop, there's a shakedown of marginal players and marginal assets. That will continue to go and I think that's a natural process. We've seen this in the cycles before. But it also emphasizes the quality of low-cost assets that have flexibility. I would say that CONSOL has a very powerful position and A class assets on the gas side and the coal side and you're seeing the value of that right now, and you'll continue to see the value. So when the markets are good, we'll have the highest margins. When the markets are bad, you'll see us have the highest margins. Even though they're squeezed somewhat, we will have great return on our capital going forward. So with that, let's open it up for questions.
Dan Zajdel: John, could you please instruct the callers on how to dial in for questions?
Operator: [Operator Instructions] And first in line, we have David Gagliano with Barclays.
David Gagliano - Barclays Capital, Research Division: First, I was wondering if you could just start out by commenting a bit more on the low-vol met market. Seems like the prices were a little lower than even some of the indications we've seen. I was wondering if you could just talk a bit about the dynamics there. And then also somewhat related, I was wondering if you could explain a little bit more about the decision to idle Buchanan only for a week considering the market is, as you said in the press release, oversupplied in a week.
Robert F. Pusateri: David, this is Bob Pusateri. David, during the quarter, we shipped roughly 1 million tons. We told you at the end of the first quarter conference call that we had 400,000 tons sold at a price of $185. Of that 400,000 tons, we had 1 major customer, at a very high price, delay roughly 31% of his shipments. So that was the first item that we had to deal with. As the coal comes out of the ground, Buchanan came back to work on May and June and they'd had great productivity. And we needed to sell that coal. So we searched the globe looking for the best places to put our coal. At the time that the tons needed to move, we were able to pick up 2 vessels moving to China. China doesn't buy low-vol coal from the United States. We switched it to a high-vol or a high ash product, and we ended up shipping roughly 300-and-some-thousand tons, 303,000 tons, at an average price for that high ash at $85. Given the cost system that we have at Buchanan, even with the -- taking the month of April off, we still had a very good pretax margin. So that's what happened to us in the quarter. Nothing magic about it. We're scouring the globe looking for the best place to put our coals and that's what we came up with, given the fact that we had one customer all of a sudden, without warning, delayed shipments. The other side of it, we just decided to delay Buchanan for a week. Just again, it's just to match market and demand. We have -- we forecasted roughly 1.2 million tons of met sales, low-vol met sales, for the third quarter. We have 800,000 tons sold, 400,000 tons into the spot market. We currently are in active negotiations with a customer today for 1/2 of that 400,000 tons. And we'll be again, once again, scouring the globe to find a home for the additional 200,000 tons in order to hit the 1.2 million for the quarter.
David Gagliano - Barclays Capital, Research Division: Okay. My question is somewhat related there. The -- and I guess the obvious question is why scour the globe to sell 200,000 tons? Why not just shut it in? And then just -- I was wondering if you'd just clarify a little bit, what are you seeing in terms of low-vol, normal ash pricing in the Europe, in the Atlantic basin market right now on a sort of a metric ton hard-coking coal equivalent type of price currently?
Robert F. Pusateri: Certainly. Right now, in this quarter, it's certainly a discount to the BMA price. In Europe, that discount on a metric ton basis, we've seen it as low as $15 and as high as $25. If we take those same tons and we sell them into Brazil, that discount might be a little bit better, it might be $15 to $20. It's customer-dependent, David, and it depends on the time that you make the deal and when ultimately the tons would get delivered to the port facility. So I really can't give you one answer that covers it all.
Operator: Our next question is from Shneur Gershuni from UBS.
Shneur Z. Gershuni - UBS Investment Bank, Research Division: I guess my first question is I'll start with the coal side. Cost controls were quite impressive this quarter. Is this kind of one-off in nature? Is it part of your larger cost-reduction plan? And kind of should we see a future trend into similar quarters? Would we take modest inflation from what we've seen right now? Sort of if you can sort of give us your thought process over the next 6 to 18 months.
William J. Lyons: Our expectation is that the focus and emphasis on cost control, coal and gas side, is going to remain there for the balance of the year. There's a couple of things that are driving that. The 2 biggest components of it, one is operational in nature, both coal and gas side, so that's the multi-well pads on the gas side. It's not running weekends, as an example, on the coal side, doing some ceiling projects to lower the footprint of the coal mines, et cetera. And the other one, the other side of it, our other bucket, is just looking and working with our suppliers and vendors and service providers as best we can to get back-to-back through a very difficult market to get us some relief on unit cost, service costs, things like that. So those 2 efforts, the operational efforts plus the working with our service providers and contractors, that probably comprises 90% of where the cost savings are going to come from.
Shneur Z. Gershuni - UBS Investment Bank, Research Division: Just to clarify, so essentially you've put these in place and that's kind of the run rate we should be thinking about from -- could ebb and flow a little bit but we're not going to see like a $5, $6 step-up in costs in the next quarter?
William J. Lyons: We don't give cost guidance, but looking at the rest of the year, we would expect to be in the same range that we've seen in over the past quarter on the coal side.
J. Brett Harvey: One comment I'd like to make on that. When you look at the year, we're going to be in that level. Always keep in mind that third quarter has vacation in it, so our cost structure tends to rise a little bit based on volume. But if you look at volume over time, we expect these costs to hold.
Shneur Z. Gershuni - UBS Investment Bank, Research Division: Great. My follow-up question is actually with respect to the natural gas business. You've been achieving some technical successes with the wells as they've been coming online. I was kind of wondering about 2 points: one was how much flexibility do you have going into 2013 in terms of rigs coming off contracts to dial up or dial down CapEx? And I was also wondering if you could share with us your thoughts with respect to percentages for liquid-rich and oil in your oil and wet gas windows?
Nicholas J. DeIuliis: The rig issues and our ability to ramp up or down as gas prices change, that flexibility has increased, I think, significantly over the past 18 months. 18 months ago, we were pretty much tied to the rig schedule that we had, and the ability to bring additional rigs on was very challenging. That has changed. It is going to be a function of gas price. If gas prices continue to rebound like they have, we're probably going to bring on additional rigs in the Marcellus and in the Utica, at least. If gas prices languish, then you basically have seen the drill rate level and the rig schedule that goes with it based on our current drill plans. With the liquids and oil versus dry gas focus, I think we've got a slide in our slide deck that lays out the drilling schedules and at the bottom of that we show you what the percentage split is between, for 2012 at least, what the split is between the wet oil areas, heavy or liquid gas areas versus the dry. And if you look at that, it's about a 50-50 split. I think it's 55% dry gas that's projected for '12 and about 45% for liquids.
Operator: And we'll go to Raymond Deacon with Brean Murray, Carret.
Raymond J. Deacon - Brean Murray, Carret & Co., LLC, Research Division: Nick, I was wondering if you could elaborate on what you've learned in the Utica based on your activity with your 3 rigs, the Hess rig and what industry has accomplished in terms of delineating the acreage or is it too early?
Nicholas J. DeIuliis: It's early, but I think it's not too early. We're right on the cusp of gaining what I would consider an order of magnitude more information understanding of that basin. Right now, we've got 2 rigs, CONSOL Energy does, running in the Utica, Noble and Portage counties. Hess has 1 rig running, our partner, in Belmont. We're going to come in at about 18 wells total between us and Hess for the year. And that initial drill plan is going to give us a tremendous amount of data. The first slug of data, so to speak, from those 18 wells is going to be our TUSC 3 well in Tuscarawas County. We were going through flow back. It was going very well through the prior quarter. But at the time, we had some issues with right-of-ways and getting some permanent production facilities and pipelines in place, so we took that opportunity, or that lull in time, to do a shut-in analysis looking at things like dissipation of water and how that might improve permeability, like getting some good reservoir pressure data, et cetera. So we had a free option from our perspective to do the science behind that. And I think that data from the TUSC 3 well is going to give us a tremendous amount of insight for this next half dozen or so, which will then, in turn, give us a tremendous amount of insight across the different counties in the Ohio portion of the Utica play.
Raymond J. Deacon - Brean Murray, Carret & Co., LLC, Research Division: Great. And can you talk a little bit about plans to market liquids out of the Utica, where those would go? And also any comments on -- both Range and Cabot discussed issues with the permitting gathering lines on their calls yesterday, if you're seeing any of those issues and any concerns on availability of water, I guess, given the drought?
Nicholas J. DeIuliis: The quality specifications are going to drive much of our marketing strategy, which Bob can speak to in a second here. But the quality specifications, we should have a good feel for what those reservoirs are producing by product for both, not just the Utica, but also the wet area of our Marcellus play that Noble is drilling in this quarter. So this quarter, we should have -- in fact, on the Noble, wet Marcellus side, we should have something probably within a week. And that will give us a lot of insight into what products and how much we can expect across these different footprints, which will then drive the market strategy. Before I kick it over to Bob on the marketing side, if you're referring to gathering issues that we've heard in the industry in the Utica recently, we don't go about our land effort in that way. We don't have those issues. We separate those. It's a different challenge that you see with some of our peers and what we have. Bob?
Robert F. Pusateri: Right. On the marketing side, we have a marketing and processing agreement with MarkWest to strip the liquids from the gas stream. We then benefit 100% of the selling price of those liquids and they take a processing fee that we pay them. So we have this marketing arrangement as such that it's both -- it's short term in nature. We have the flexibility to exit it at any time, and we're always looking for other ways to benefit by the sale of these liquids.
Operator: Our next question is from Michael Dudas with Sterne Agee.
Michael S. Dudas - Sterne Agee & Leach Inc., Research Division: Maybe a follow-up on the last question for Nick about water situation because it seems like with drought and other companies in the plays are having some issues. Could you maybe refresh us on how you guys might be different, have different access to some of the others?
Nicholas J. DeIuliis: The water situation, for both coal and gas segments across the industries we work within is only growing by the deck. And it's going to grow over time exponentially from regulation as well as from the ability to utilize water. This recent heat wave that we've seen and drought issues in Appalachia is only a short-term example, an illustration of what's going to be a longer-term, more common occurrence. And the entities that can look at water, I think, as a strategic logistical item, are going to be the ones that are going to benefit through the quarters and years as this thing continues to unfold across the states and federally. Right now, the company in total handles over 36 billion gallons of water a year, okay? So we've been in the water business for decades. And increasingly, we're seeing examples across the company where we're utilizing the water assets that we hold and we handle across different segments. So if you look at the Coal to natural gas segment, one of the synergies that we see on a regular basis now is the Coal segment providing water for the completion operations of the Gas segment. I think, to date, we're somewhere around 50 million gallons. And that, of course, is going to grow as time goes on. So all of this, when you add it all up, it's going to reduce the footprint that we have on water sources beyond our 36 billion gallons that we handle, and it's going to be a good thing for not just ourselves but for the industry. So I think water continues to be a bigger and bigger issue in this recent drought. It's just the most recent illustration of that, but there's going to be more to come.
Michael S. Dudas - Sterne Agee & Leach Inc., Research Division: Sounds like you can get a better price for water than your low-vol coal these days. For Bob, maybe, could you maybe give us your views on what utility customers have seen over the past -- since the beginning of the summer, how comfortable they feel? And are you really seeing some of the production or shipments come off as quickly maybe as the industry would like with regard to shipping to domestic utilities?
Robert F. Pusateri: Sure. Mike, we expect domestic thermal demand to increase the second half of the year, mostly due to hotter-than-normal summer temperatures. We're seeing a faster drawdown of inventory in our key marketing areas. And all of this is a backdrop to a rallying natural gas price. We continue to manage our pushback tons that we got in the first 6 months. We continue to realize the full value of those tons for our shareholders. Most buyers, I think, Mike, right now are, in our primary market space, are taking a wait-and-see attitude towards contracting for 2013. They are laser-focused on the price for natural gas. And as you can see by today's natural gas strip feed [ph], the average through next year is in the $3.50 an Mcf. And if you take into account heat waves and capacity factors and transportation rates, $3.50 a ton generically equates to our high Btu northern [indiscernible] equates to a price in the low 60s. So they're focused on that, so are we. As we get to the end of August, most of the contracting will begin. We'll have a better sense of it when we sit here for our third quarter call. But we're cautiously optimistic going forward. Relative to the question about do you see high volumes of Central App coal that was scheduled to go to utilities going offshore, I think a lot of that has been curtailed starting in July. I think in some cases, the utilities that were funding that no longer can afford to pay the premium that was necessary to allow that to happen. I think in a shut-in of production relative to the amount of tons that were available to go offshore, and the market is finding its equilibrium point.
Michael S. Dudas - Sterne Agee & Leach Inc., Research Division: I appreciate it. Just 2 quick follow-ups. Bill, could you remind us on the gas side, on your hedging philosophy, is it more structured regular or is it price dependent on how you layer them in? Or will you not layer it in at all as you move forward?
William J. Lyons: Again, our strategy has been we take a look at our total portfolio, which is both coal and gas and then it's a matter of risk management. For the most part, we are layering in. I think that practice has proved to be very beneficial to us. But I can tell you that we're reevaluating our hedging and we may have some changes in the future. But right now, we're continuing on what we're doing in the past.
Michael S. Dudas - Sterne Agee & Leach Inc., Research Division: And one just final question. Brett, do you think we're closer to the bottom of this downturn cycle or is there a little ways to go? And is it dependent on U.S. economic activity? Maybe if we get more confidence level in the second half going into 2013, that will spark things.
J. Brett Harvey: I would say we're more cautiously optimistic about steam coal. And on the met side, I'm not sure we're at the bottom. And here's why: I think when you see continuing softness on the met side, there really is a demand for steel, and so the supply is outpacing the steel side. And when you see these prices that are very close or below the average cost of our incremental competitor, for better lack of terms there, it's a very, very thin market. That means the buyers aren't buying. And if they're not buying, the price continues to drop because there's no volume moving in it. So I would say it's bouncing off the bottom, but I don't see it turning in the next 3 to 6 months.
Operator: Our next question is from Andre Benjamin with Goldman Sachs.
Andre Benjamin - Goldman Sachs Group Inc., Research Division: I was wondering if you could maybe discuss your Marcellus well results and how they're trending versus your current type curves, maybe what steps you're taking to improve them in the various regions? And in your view what ending year end in terms of the potential to actually continue to improve the EURs and F&D costs?
William J. Lyons: You look at the Marcellus effort since we've initiated that project to date, the one thing I think that differentiates ourselves to other drillers in the basin is that now, increasingly, our results are coming from multi-well pads and that has some significant impacts across a number of things. First thing it impacts is we're truly getting some good data and insight into the overall reservoir when you start to look at EUR estimates and things like that. And when you review that with our third-party reservoir engineers, they notice that. They know that, that's something different about us and it gives them a lot more confidence when they're looking at EURs and declines and things like that across a field or basin. So it affects reserves. Another thing that's happening is the multi-well pads obviously have some benefits when it comes to capital and capital per well, which coupled with the EURs, is going to improve your finding and development costs and your overall economics. So there's multi-well pads. You add to that things like converting our rigs to gas firing on the LNG, gas-firing facilities, our first rig should be converted here within a week or so. You look at things like our AutoTrak one-run rotary steerable systems that we're employing. Those things are also reducing both operating costs and capital costs. So you add up all these well results across Southwest, PA and Greene County or Central, PA results in Westmoreland, Indiana or our northern West Virginia results that are coming in and what Noble's doing in Majorsville, and you couple all of these improvements together, I think the trend is definitely going to be one where EURs and well-type [indiscernible] are confirmed or improved upon and the finding and development costs continue to beat those rates that we saw reported the past year or 2 in the Marcellus, which bodes well on current gas prices.
Andre Benjamin - Goldman Sachs Group Inc., Research Division: Okay. And then on the coal side, I just wanted to try to better understand the movement in costs. I know a little bit was discussed earlier in the call. I really want to understand how much of it was really driven by lower input costs versus the operational improvements. So if we were to see, say oil, steel and gas, some of the commodity input prices rebound next year, how much of that improvement should we actually expect to see reverse?
William J. Lyons: It's very difficult to track that. It varies quite a bit mine-by-mine, depending on the operation and where it's at in its cycle. But again, I would say if you look at the overall cost performance that we've demonstrated this past quarter, I would say that the 2 largest, by far, are the service and commodity cost side, coupled with the operational improvements. Now the operational improvements are going to stick. So if you have a sealing project that's completed in a coal mine that seals off a 1/4 of the old footprint, it no longer needs to be ventilated and patrolled and things like that, that's something that's going to be there quarter-after-quarter. As you said, the commodity side, the service side, that ebbs and flows but you would think and we've seen historically that most of the time when we're experiencing those pressures, that's also when our revenue line is also seeing pressure upward. So that's not necessarily a bad thing overall.
Operator: And we'll go to Jim Rollyson with Raymond James.
James M. Rollyson - Raymond James & Associates, Inc., Research Division: Export-wise, Bob, you talked about just things may be slowing down a little bit overall for the industry kind of second half. Kind of curious where you guys stand on expectations for your own exports now for this year, given the adjustments in volumes.
Robert F. Pusateri: Sure. For the whole calendar year, Jim, on our low-vol side, we expect that we have about 4.4 million tons of low-vol, of which out of that 4.4 million, roughly 3.5 million of it we'll go export. We still believe that given the low-vol, combined with our mid-vol and also our thermal, we'll be in the range of 11 million to 12 million tons of exports for the year. We have a fairly good handle on what the third quarter is going to do for us, but the fourth quarter is wide open. We're chasing customers, trying to get them to live up to their commitments. But we're fortunate. We have a very strong cost structure and it still allows us to achieve a very good margins. And I believe that there are not many that can survive in this type of market correction, and CONSOL's fortunate that we have the cost structure that allows us to do that.
J. Brett Harvey: One point, Jim, I wanted to bring to you. When we talked earlier about the coal not going, that was the excess coal from the utilities that we're trying to move away from their stockpiles. I think the burn down across -- especially across the east, has stopped that. So when you look at that, that's the pressure that was in that international market. If you look at what we're going to move internationally, we'll continue, I think, to have record production moving offshore.
Robert F. Pusateri: Right. We're definitely, year-over-year, 2012 will be better than what we did in 2011, even given these conditions.
J. Brett Harvey: Yes.
James M. Rollyson - Raymond James & Associates, Inc., Research Division: And obviously, it's early and pricing on the market's pretty weak. But have you had any discussions with your customers about possible opportunities for next year? Or is it just that pricing right now is too low to really have those discussions or kind of what do you see going into next year?
Robert F. Pusateri: A couple of things, Jim. Jim, we're in kind of in active negotiations currently and so I really can't speak to that. Again, it depends on the customer, the country and the type of coal, so it varies. So I really can't give you much color on this.
James M. Rollyson - Raymond James & Associates, Inc., Research Division: All right, last one, Brett. You guys talked about lack of visibility at this point or just most of your customers were thermal next year. You haven't gotten really to a lot of discussions. I'm just curious given only a little bit over 1/2 of your 2013 projected thermal volumes are locked in, how comfortable are you can manage to sell the rest to get up to the 47 million tons?
J. Brett Harvey: These are natural markets for us. 2 things: one is we know that we have long-term relationships with these and we'll get to the right price. Also the ability of us to move it through our own port facilities into different markets gives us some leverage there. So when prices are falling on the utilities side, they're not going to come out and negotiate until they'd feel like there's a turn or their inventories are sideways. I think that's just a natural thing. They have an advantage when the volume's up in their stockpile. So I would say that'll all come together probably a little bit later than it does in a typical year. But these are natural volumes for us and we're at a critical mass to where we'll get to a deal with them or we'll move it into the international markets.
Operator: Our next question is from Holly Stewart with Howard Weil.
Holly Stewart - Howard Weil Incorporated, Research Division: First, just a question on the high-vol side. You seem to be still be moving tonnage into that firm category and the market commentary, I guess, out there right now would suggest that not a lot of that is being done. So can you just talk about that market for CNX? And then maybe, Bob, what you're seeing overall on the high-vol market?
Robert F. Pusateri: Sure. Holly, we're showing from the third quarter in total that we're going to sell 900,000 tons, of which we have 700,000 tons already sold. One of the things that we've done, Holly, since we last talked is that we have expanded our marketing effort overseas. We've hired additional people. We have negotiated with the vessel companies to where we've been able to delay some of our contract vessel shipments and we've been able to take advantage of spot test rates. We've moved our marketing effort not just along the coast, but we've also moved that marketing effort to steel mills and cokeries that are further inland and it's starting to pay off. So we're priced -- we've priced the coal to a point where it makes sense for the mills to seriously look at it and we're taking advantage of every opportunity that comes our way.
Holly Stewart - Howard Weil Incorporated, Research Division: Okay. And then maybe just kind of overall commentary on that market in general. I mean what you guys are seeing in terms of pricing and are others having -- just having a hard time to move that product?
Robert F. Pusateri: I think a lot of what we've done since we started this process in late 2009 is starting to pay off for us, Holly. Believe it or not, there is some buying in China that is relationship-buying and we've taken advantage of that. And we're -- we still look at it very carefully because of letters of credit and the like. But we've been successful and we have no reason to think that we won't continue to be successful in this arena. And that's why we've expanded our marketing effort by hiring additional people. China is a big country and so we were trying to cover it with 4 guys and we didn't find that to be adequate, so we expanded our workforce. So I don't -- I think that other people will try to sell into China. But again, I think some of them don't have the cost structure to allow that to happen. They don't have the relationships. And at the end of the day, some of them just may not have the quality to be able to get the job done.
J. Brett Harvey: One other point on this, Holly, this is Brett speaking. On a macro sense, we're well branded into China. They know Bailey, they know Enlow, they know -- there's enough volume going into China now, that's become a product word and we've done very well at that. If you look at the last couple of years, out of North America, we're by far the highest volume going into China so that has caught hold. And also the high quality and low costs gives us a chance even in a softer market to expand market share.
Robert F. Pusateri: And Holly, also, we've been successful in being able to introduce our coals, our high-vol coals into Brazil, Europe and also here in the United States. And we've had good success and we're expecting equal to or better success for 2013.
Holly Stewart - Howard Weil Incorporated, Research Division: Perfect. And then just one follow-up on Buchanan, I'm just a little bit confused. The 4.4 million tons out of Buchanan, how much of that is the high ash product?
Robert F. Pusateri: For the balance of the year, Holly, it will be -- most likely, it'll be 0 for the balance of the year. I do not have the number for the first 7 months at my fingertips. I'm sure Dan and Dave can call you off-line and give you that number. But going forward, it'll be -- there'd be nothing.
Operator: And our next question is from Mitesh Thakkar with FBR.
Mitesh Thakkar - FBR Capital Markets & Co., Research Division: Just a quick question. You have done a good job at monetizing some of the asset and bringing that value forward. Can you talk about what -- some of the other asset would you classify as noncore?
J. Brett Harvey: Well, we're always looking at it based on what markets or what reserves we have in what region and who it fits and who it fits changing markets based on plants getting shutdown, scrubbers being built and all of those kind of issues as things change. But I can tell you this: this is an asset-rich company. And as we see these markets shift around and we see a need to deploy capital into a growing gas market or something as profitable as we think the BMX mine is going to be, the lowest cost -- one of the lowest-cost mines in Northern App, we'll redeploy those. So we look at all our assets like we did at Youngs Creek and other places and we mold them into a position for sale. We have more of that to come. I'm really not in a position where I want to divulge where we're looking next because that's part of our strategy. But I can tell you we have a stable of very valuable things to other people that we will move it forward to our shareholders value.
Mitesh Thakkar - FBR Capital Markets & Co., Research Division: Great. And just one follow-up on the steam coal side. It looks like volume in outer years have come down a little bit. How much of that is just idling some of the mines, which we discussed previously? And how much of that is just looking at the markets where they are and just thinking not to produce those coals right now?
J. Brett Harvey: Okay. On the steam coal side, if you look what we've done, we actually idled mines for longer vacations. We've pulled back on tonnage. So CONSOL has capacity on the steam side that is not being realized. We're working no overtime. We're working no Saturdays. We're actually in a position where we have capacity and productivity that we haven't moved into the marketplace. And so when you look at that, it's -- we've just pulled back to manage inventory and we have the ability to do that.
Operator: And we'll go to Paul Forward with Stifel, Nicolaus.
Paul Forward - Stifel, Nicolaus & Co., Inc., Research Division: I think Bob talked about $3.50 gas is equal to something like a low 60s price for Northern Appalachia. This quarter, the high-vol price was $61. And I guess, first of all, I never thought I'd see the high-vol number come in below the average thermal price. But I was just curious, when you look at your high-vol projection for 5.2 million tons of sales in 2013 and only 400,000 tons of that's committed, what's the prospect here that a significant part of that's going to be rotated back into thermal because you could potentially get a better price on it as a thermal if the market is not going to be accepting that coal at a decent price for high-vol?
J. Brett Harvey: Well, that's the beauty of it all, Paul. We're in the money business. We'll follow the price. If that market is there, we clearly have low-cost mines. We're moving the same capital and the same coal from market to market based on price. So if the domestic market demands that at a higher price, it'll go to that domestic market. If the world market demands it, we'll move it that direction. So that's the beauty of having the ability to move it to international markets through our own port facilities with 2 rails and the leverage on 2 rails. So that's -- we're not going to hesitate to go back to the natural markets if the price is higher.
Paul Forward - Stifel, Nicolaus & Co., Inc., Research Division: And on the BMX project, just obviously part of the thinking on the development of BMX is that it can go to the high-vol, it can go to thermal markets. But you probably weren't thinking along the lines of $61 a ton in high-vol when developing it. I was just wondering on BMX, the $660 million cost of the project, is there any way that you think you might be able to economize on that? I mean, certainly it's a multiyear process and you're not planning to delay it. But I was just wondering if there's any way to try to work that cost down to just reflect the lesser economics on the pricing side.
J. Brett Harvey: Well, we can build lower-capital mines for shorter lives. You see that all over the mining industry. But if you have long-term, high-value reserves that you can run out for 25 years, you should set it up on the front end for the high volume and the productivity and the low-cost structure for 25 years that you can hit all of these markets. So it's not typical for CONSOL, especially in the Pittsburgh #8 seam, to capitalize the mine for 5 to 15 years. This is a 25- to 30-year life mine. It's going to be the lowest-cost structure even with the capital you're talking about of all Northern App Pittsburgh #8 mines, and it'll displace some other mine in Northern App. And I think that's exactly the way we look at it. And it will displace it for life, 25 years. So I think it's important you look at it from that perspective. So we're not trying to save money on the front end. We're trying to optimize the capital for maximum low-cost productivity going forward.
Operator: The next question is from Lance Ettus with Tuohy Brothers.
Lance Ettus: I just had a couple of quick questions. First of all, I guess I don't know if -- maybe I missed it, but if you gave a met coal benchmark related to your low-vol sales what that would equate to. And also I know you commented a little bit earlier in the call about other lower-quality coals, how they either don't have the flexibility and I guess based on the margins, you guys are still able to get in your coal operations. But I'm just kind of curious if you were expecting or if you've been surprised that some of the lower-quality met coals haven't taken their production more or when you expect it to happen, I guess.
Robert F. Pusateri: Okay, Lance, I'm going to try to answer that. First, I did not give a BMA price equivalent. Roughly, I'll just tell you this. $120 FOB mine would probably equate to roughly a number of $180 a metric ton. So I'll make that relationship for you, give you -- and hopefully that helps. But going forward, there is an oversupply of metallurgical coals available today given the demand that we're seeing out of Europe, South America and also out of China. There's no refuting that. And what's happened is, is now that Australia's labor issues are over so there's an increase in coals available out of Australia. And we're all going after the same demand at this point in time. So the buyers are probably chasing the higher-quality coals and with the thought in mind of getting the best price that they possibly can. So when the BMA price, I think, is still very relevant, but I'm not sure I can tell you how many tons are actually being sold at the BMA price today. So we negotiate our price on a customer-by-customer basis. So we have the cost structure that allows us to meet the market if the market falls. And as I said earlier, we're still producing very good margins.
Operator: And that'll be from Brandon Blossman from Tudor, Pickering, Holt.
Brandon Blossman - Tudor, Pickering, Holt & Co. Securities, Inc., Research Division: Let's, I guess, circle back to the top of the call, just another pass at the low-vol met realizations comments to Bob. On a go-forward basis, so it looks like a customer in Asia got a very nice product for a very nice price from their perspective. And you can -- obviously, Buchanan is in a unique position because it can still make the margin at prices like that. What's the kind of the near-term go-forward strategy around where do you say, no, I'm just not going to put it at the market at that price.
J. Brett Harvey: Well, let me speak to that because I drive a lot of that when I talk to Bob about the sales side. You talked about them having a nice price for very high-quality coal. We think we have a nice margin at a very high-quality coal at the bottom of the market. So there's 2 sides to that. And we're making $25 to $30 a ton on that price where others would be underwater cost structure-wise. So that's where we're making our decision. But we don't need to do this for practice, and we're not going to chase high volumes into the marketplace because we know we have a very valuable, high-quality product. So if it looks like it's a spot deal, we'll pick up the $25 to $30. If it looks like high volumes and that -- and we're chasing the market down, then we'll back the mines off. And that's exactly what my instructions to the sales department. And that's coordinated with Nick and how they run the operations and how they get it ready. So it really is opportunistic at the bottom of the market because we can still make money, but we don't want to chase volume and price down. Does that make sense to you?
Brandon Blossman - Tudor, Pickering, Holt & Co. Securities, Inc., Research Division: Yes, absolutely. Actually, that's very helpful. And then kind of taking that to the seaborne thermal market, perhaps it's a little different structure there. I mean you guys, again, are in a unique position that you have flexibility on cost structure. Will you use that flexibility to put together kind of term deals that are maybe indexed, but establish a relationship with the new customer that could be long-lasting?
J. Brett Harvey: We definitely will try at the bottom of the market. When there's chaos, we'll try to expand the marketplace to our advantage because the cost structure and the high BTUs. And when you're talking about steam, it's a little bit different animal. But once this high thermal valued coal hits the water, it travels a long ways and we can pick up because of our ability to move high volumes especially out of Bailey/Enlow or that complex or Blacksville or one of these other mines, we can move a lot of volume very quickly if we can get the right deal over time because we can lock in margins.
Dan Zajdel: Okay, that concludes today's call. John, can you please talk about the replay information?
Operator: Certainly. And ladies and gentlemen, this conference is available for replay. It starts today at 12 p.m. Eastern. It will last until August 2 at midnight. You may access the replay at anytime by dialing (800) 475-6701 or (320) 365-3844. The access code is 254088. That does conclude your conference for today. Thank you for your participation. You may now disconnect.